Operator: Good day, and welcome to the News Corp Second Quarter Fiscal 2022 Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Mike Florin: Thank you very much, Jess. Hello, everyone, and welcome to News Corp's Fiscal Second Quarter 2022[ph] Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We've all been with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. We are delighted that the considerable momentum shown over the past two years has continued unabated in the most recent quarter. While the first quarter was the most profitable first quarter since our rebirth in 2013. The second quarter was the most profitable of any quarter with record revenues and record profitability. Products are certainly deserved by our employees for their collective and unstinting effort, energy and creativity. We are all proud to be furthering a tradition of purpose in principle created by and curated by Rupert and Lachlan Murdoch. Credit too must go to a Board that has provided thoughtful prescient guidance during a particularly challenging period for most media companies in most countries. Revenues for the quarter exceeded $2.7 billion, a 13% increase year-over-year, while profitability rose 18% to $586 million and net income reached $262 million. In the first half of this fiscal year, News Corp amassed nearly $1 billion of total segment EBITDA, a 30% surge while reported net income was $529 million compared to $308 million in the previous year. The platform agreements with Big Tech continued to benefit our bottom line. In addition to our substantial deals with Google and Facebook, we have extended and expanded our multiyear global agreement with Apple, which is expected to be an important source of subscriptions and of advertising revenue for our new sites around the world. There is no doubt that Tim Cook and Eddy Cue have a visceral enlightened understanding of the importance of professional journalism, and we genuinely appreciate their personal and corporate commitment. Our businesses are flourishing. There was again strong performance at Digital Real Estate Services, Dow Jones and Book Publishing and a rapid expansion of profitability at our News Media segment. We are delighted that agreement has been reached to acquire the OPIS and Base Chemicals businesses after their required sale for antitrust reasons. They will surely add to the luster of the already lucrative Dow Jones Professional Information Business. Those acquisitions should formally close in the first half of calendar 2022. We had indicated that the strength of our cash position and our robust growth would enable us to make opportunistic purchases, and that has come to fruition and at reasonable prices that we believe will benefit all our shareholders. That studied strategic expansion has been complemented by a $1 billion share buyback program already well underway and which we expect will provide ongoing value to our investors. Turning first to Digital Real Estate Services. It is manifest that there is a global shift in the housing market, with families wanting more space, a higher quality of life and the opportunity to work from home, which is simply not feasible without a home. Unsurprisingly, there were 6.12 million existing home sales in the U.S. last year, the highest figure in 15 years, and that total came despite the disruption of COVID in viewing and reviewing homes. We see much macro strength ahead in a market that is still far from being fully digitized and should benefit from rising employment and from interest rates that while on an incline, remain close to historic lows. In the second quarter, Digital Real Estate Services reported 35% revenue growth and 25% segment EBITDA growth. Listing volume improved noticeably at REA. While realtor.com reinvested in valuable adjacencies and continue to generate strong revenue growth despite relatively low U.S. housing inventory levels. As of December, according to comScore, realtor traffic growth exceeded that of Zillow and Trulia for 23 straight months, which is vindication of our resolute focus on our core mission and customers. We were not mired in the capricious calendar sec of House Flipping. In Australia, REA reported revenue growth of 56%, which includes the integration of Mortgage Choice. The tapering of rapid house price rises has been accompanied by a flurry of new listings, even though the COVID situation remained somewhat unpredictable. And one state, Western Australia has chosen not-so-splended isolation. The Australian government is expecting an economic renaissance over the next year or so, and that should benefit REA and all of our businesses in that country. Dow Jones had a superb quarter with 14% revenue growth and a 32% increase in segment EBITDA at $144 million. Bear in mind that these outstanding numbers come on top of a particularly strong quarter a year ago, underscoring the scale of Dow Jones achievements. We are successfully building upon success. Subscriptions expanded across the Dow Jones portfolio, and there was 23% advertising revenue growth in the quarter. Risk and Compliance reported a revenue increase of 17%, the 26th successive quarter of double-digit revenue growth. To emphasize, 26 successive quarters of double-digit revenue growth. Total Dow Jones subscriptions, including IBD, rose 17% in the quarter, reaching approximately 4.7 million. And the Wall Street Journal's total subs exceeded 3.6 million with nearly 3 million of them being digital-only, an increase of 19% year-over-year. To be clear, these are core subscribers who are signing up to a premium product at a premium retail price. Our ability to offer high-margin professional products will certainly be enhanced by the integration of OPIS and Base Chemicals, both of which have still growing traditional businesses and rapidly expanding offerings in renewables. We plan to use Dow Jones expertise to create truly verifiable carbon products and prices in a market that is patently immature and lacking in transparency and veracity. And we expect the pressure for credible disclosure to be an additional source of revenue for our Risk and Compliance business. For clarity, these two new businesses have revenue bases that are close to 100% digital and recurring. They are highly profitable with healthy revenue growth and modest CapEx requirements. We expect that investors will be able to see clearly the positive impact in coming quarters. That these deals were done at rather attractive multiples is self-evidently a bonus for our investors. Book Publishing posted record numbers a year ago and the growth continued inexorably in Q2. This continuing success is thanks to the diverse front list and deep backlist at HarperCollins, augmented over the past year by the opportunistic acquisition of the Houghton Mifflin Harcourt Books & Media segment. Notable success was seen with Ree Drummond’s The Pioneer Woman Cooks-Super Easy! and Dave Grohl’s, The Storyteller. Looking ahead, we have high hopes for the Paris Apartment by Lucy Foley, another David Williams installment in is superlative best-selling World’s Worst series and what may well be the most telling book of the Trump administration, One Damn Thing After Another by Bill Barr, who was Attorney General and had a remarkable career before that service. Having read the text, I can report that this is a brilliantly written, profoundly important work, which will share thoughtful light on a turbulent period in the country's history. Also note in the second quarter, Harlequin launched Harlequin Plus, a direct-to-consumer digital subscription service that will appeal to romantics around the world. The app and website will give subscribers an opportunity to have a literally liaison with book bundles, e-books, movies and games. This multimedia offering is yet another example of the clever contemporary leveraging of our world-class content. News Media had a particularly strong quarter with segment EBITDA up 68%. That outstanding performance reflected growth in advertising, the benefits of the deals with the Big Tech platforms, sensible sustained cost discipline and the benefit of savvy product and technology investments made in recent years. The robust advertising results up 17% in the quarter, were evident at all major mastheads across both print and digital. Our digital trends are particularly pleasing, which speaks to the value of our global network and improvements in our understanding of permission data. It also reflects the sage leadership of Michael Miller in Australia, Rebecca Brooks in the U.K. and both Sean Giancola and Keith Poole at the New York Post. News Corp Australia showed a highly noteworthy improvement in profit contribution with digital paid subscriptions scaling to nearly 910,000 and the intelligent expansion into digital adjacencies. The New York Post had an especially successful Q2 with an appreciable contribution to segment EBITDA, thanks to a resounding advertising performance and its vast and growing digital audience. We recorded 160 million unique users in the months of December. The post increase in profit contribution has, it is fair to say, it exceeded even our demanding expectations. News U.K. had its highest second quarter profit contribution since fiscal 2011, helped by an acceleration in digital paid subscriber growth. In addition, the Sun's traffic has surged with global monthly uniques for December, up 25% to $163 million, and our fledgling U.S. Sun site growing rapidly. It's worth reiterating and pondering for a moment, some of those astounding numbers. Based on internal metrics, as of December, we had 160 million uniques for the New York Post, 163 million uniques for the Sun, over 80 million uniques for realtor.com and 123 million uniques with Dow Jones. That is certainly a firm foundation for network growth. In the U.K., Wireless made a positive contribution to News Media's revenue and segment EBITDA growth. We're also looking forward to the launch of talkTV, which will be available on platforms, including linear TV and OTT. The channel will take full advantage of our talent and content in the U.K. and via the global deal with Piers Morgan, our platforms in the U.S. and Australia. It will be high quality, low cost and certainly impactful. Subscription Video services benefit from increasing subscriptions and decreasing churn. Thanks to the ongoing appeal of our streaming platforms, the high quality of our technology, our increasingly sophisticated understanding of audience data and the depth and broad appeal of our unparalleled entertainment, sports and news offerings. Sports seasonality is always a factor in Australia, but our total streaming subscribers expanded by 66% year-over-year, with Binge exceeding 1 million subscribers and Flash, our news aggregation service in its infancy. In total, as of December, we had almost 2.3 million streaming subs, representing 56% of Foxtel's total subscriber base, which was 4.1 million. It's worth noting that in addition to the increase in streaming subs, broadcast churn was at a three-year note. The team, led by Siobhan McKenna and Patrick Delaney is executing successfully on our strategy to scale streaming, having developed world-class technology and compelling user interface. We are increasingly confident in Foxtel's future and thus actively looking at ways to maximize its value and ensure that we can build on that success. We are delighted with the patent progress at News Corp, but certainly not complacent as we contemplate the exciting potential in our company, which we will relentlessly realize for our investors. Our trajectory has been transformed despite the vicissitudes of the virus is a testament to the inherent potential of the businesses and the enduring culture of the company. There is no doubt that we will thoughtfully review our current structure and be institutionally introspective on behalf of shareholders. We have made many timely disposals and self-evidently successful purchases and are committed to maximizing value for those who have invested in our company. While our profits and revenues are at record levels, we are certainly far from stated and will never be complacent. We firmly believe the best quarters and years are yet to come. Now for more details about the most profitable quarter since our reincarnation in 2013, Susan Panuccio.
Susan Panuccio: Thank you, Robert. As Robert mentioned, we are delighted with our second quarter and first half results, marked by strong revenue growth, further margin expansion and record high total segment EBITDA. Fiscal 2022 second quarter total revenues were over $2.7 billion, up 13%, reflecting strong revenue growth across the company with our three-core pillars, Digital Real Estate Services, Dow Jones and Book Publishing growing 19%. Total segment EBITDA was $586 million, higher than the prior year by 18% and a record high total segment EBITDA for the company since separation. Excluding acquisitions, currency fluctuations and other items disclosed in the release, adjusted revenues and adjusted total segment EBITDA rose 8% and 16%, respectively. Reported EPS were $0.40 as compared to $0.39 in the prior year. Adjusted earnings per share were $0.44 in the quarter compared to $0.34 in the prior year. During the quarter, we commenced our share buyback and announced the acquisition of Base Chemicals. As Robert mentioned, we anticipate both the OPIS and Base Chemicals acquisitions to close in the first half of calendar 2022. Moving on to the results for the individual reporting segments, starting with Digital Real Estate Services. Segment revenues were $456 million, an increase of 35% compared to the prior year. The results include the acquisition of Mortgage Choice and the consolidation of REA India, formerly Elara at REA. On an adjusted basis, segment revenues increased 22%. Segment EBITDA rose 25% to $178 million or 29% on an adjusted basis. We continue to see higher investment spending at Move and at REA, but at a more moderated rate than the first quarter, notably at Move. Move's revenues were $169 million or up 9% year-over-year off the back of 28% revenue growth in the prior year, primarily driven by the historically high lead volumes, which rose over 30% last year. Real estate revenues improved by 13% and accounted for 86% of total revenues. We saw higher revenues from the traditional lead generation business, fueled by higher yields and increased penetration from Market VIP Move’s hybrid product. Referral offerings accounted for approximately 32% of total revenues and continued to benefit from record high home prices and higher referral fees despite lower transaction volume. Encouragingly, close rates also improved. Average monthly unique users for the second quarter were $85 million, up 6% over the prior year. Like the first quarter, revenue growth was partially offset by the divestiture of Top Producer in March, negatively impacting revenues by approximately 3 percentage points. Overall, as anticipated, lead volume declines moderated from the first quarter, down 9%, and we are now seeing the emergence of more typical seasonal patterns. Importantly, lead volume is up 18% compared to pre-pandemic levels. Yields remain robust given strong agent demand, which is more than offsetting the impact from lower lead volume. Expanding into adjacencies, including new homes and rentals and establishing partnerships like the recently announced Open Door and Orchid Life[ph] partnerships in the seller's marketplace remain a key focus in the second half. REA had another outstanding quarter with revenues rising 56% year-on-year on a reported basis to $287 million, which includes the $41 million contribution from the Mortgage Choice acquisition and $10 million from REA India. As a reminder, financial service revenues are reflected on a gross basis in the revenue line in our financial disclosures and broker commissions are reflected in costs. REA enjoyed very favorable trends this quarter, including a 22% increase in Australian residential new buy listings double the first quarter rate with Sydney, up 39%; and Melbourne, up 25%, aided by easing of lockdown restrictions. REA also continued to benefit from higher yields, increased depth penetration and product mix. Financial services not only benefited from the integration of Mortgage Choice but also saw record levels of applications and settlements. Please refer to REA's earnings release and their conference call following this call for more details. Turning to the Subscription Video Services segment. Revenues for the quarter were $498 million, down approximately 3% on both a reported and adjusted basis and relatively stable from the prior quarter, as the declines in Foxtel residential broadcast revenue and continued COVID impacts on commercial venues were partially offset by strong growth in streaming revenues, which now account for 19% of circulation and subscription revenues. Total closing paid subscribers across the Foxtel Group reached over 3.9 million at quarter end, up 19% year-over-year, improving from the prior quarter rate by 2 percentage points. Total subscribers, including trialists, were approximately 4.1 million, the highest on record. The year-over-year increase was driven by higher Binge and Kayo subscribers, partially offset by the expected decline in residential broadcast subscribers, albeit at a more moderated rate than the first quarter. In aggregate, total streaming subscribers rose 66% from the prior year to almost $2.3 million, of which approximately $2.2 million were paying subscribers. Streaming products in the aggregate reached 56% of Foxtel's total subscriber base. Binge had an outstanding quarter, increasing its total subscribers to over 1 million similar to Kayo. Paying subscribers more than doubled from the prior year to 928,000. Binge added 126,000 paid subscribers in the quarter, almost double the net adds of the first quarter. Binge's growth continued to be driven by the depth of its content library and the popularity of new shows, including a Binge original show, Love Me. Kayo subscribers followed seasonal patterns with total subscribers slightly down from the first quarter, consistent with the prior two years. The winter codes of AFL and NRL remain key acquisition drivers for Kayo with cricket and motorsports providing essential viewing over the spring and summer months to satisfy the year-round sports fans. Australia's winter sports codes will resume in the third quarter with the return of AFL, NRL, Netball and Supercars. Broadcast churn declined to 13%, the lowest level since the first quarter of fiscal 2019 and down 4.5 percentage points versus last year. The Foxtel team continued to focus on product enhancements and higher ARPU subscribers, resulting in broadcast ARPU increasing almost 3% from the prior year to AUD82 and helping to mitigate subscriber volume declines. Foxtel ended the quarter with 1.6 million residential broadcast subscribers with the sequential decline being the lowest since the fourth quarter of fiscal 2020. Commercial subscribers increased from the first quarter as parts of Australia opened up and were flat versus the prior year at 218,000. Segment EBITDA in the quarter of $86 million was down 31%, driven by one-off events such as the Ashes and the phasing of certain sports rights costs together with investments in marketing and technology. Costs were consistent with our outlook commentary, and we continue to expect full year total cost to be relatively flat if not down slightly in local currency, helping to deliver strong cash generation at Foxtel. Moving on to Dow Jones. Dow Jones continued its strong performance in the quarter with revenues of $508 million, up 14% compared to the prior year, with digital revenues accounting for 72% of total revenues this quarter, up 2 percentage points from last year. Adjusted revenues, which notably excludes the impact of IBD, rose 10%. Circulation and subscription revenues increased 12%, including 13% circulation revenue growth, primarily reflecting the acquisition of IBD and continued strong volume gains in digital-only subscriptions. Digital net adds improved from the first quarter with Dow Jones adding 148,000 digital-only subscribers, including 115,000 at the Wall Street Journal. Professional Information Business revenues rose 9% and accounted for 25% of revenues. Revenue growth from Risk and Compliance increased 17%, driven by a higher entry rate and strong growth across the Americas, Europe and Asia, and we continue to see modest revenue growth in Newswires. Advertising revenues, which accounted for 28% of revenues this quarter grew 23% to $141 million, the highest quarterly advertising revenue in the last five years. Digital advertising revenues remained robust, up 18% on top of 29% growth in the second quarter of the prior year and accounted for 56% of total advertising revenues. We continue to see strong yield improvement led by direct display. Print advertising continued to surprise on the upside with 29% growth year-over-year, partly due to easy prior year compares but also due to the strength in technology and B2C categories. Dow Jones segment EBITDA for the quarter rose 32% to $144 million despite the 43% growth last year, with EBITDA margins expanding by almost four percentage points to over 28%. That represents the highest margin since News Corp's acquisition in 2007. Total costs increased 8% with approximately half due to the consolidation of IBD. On an adjusted basis, revenues and segment EBITDA for the quarter rose 10% and 29%, respectively. At Book Publishing, HarperCollins posted 13% revenue growth to $617 million and segment EBITDA rose 3% to $107 million. Adjusted revenues rose 4% versus the prior year, while adjusted segment EBITDA declined 7%. We are particularly pleased with these results given the global supply chain pressures, which impacted manufacturing and freight costs during the quarter and the tough prior year compare, which saw 65% segment EBITDA growth last year. Results this quarter benefited from the acquisition of HMH, strong frontlist performance and healthy industry dynamics with consumption levels still significantly higher than pre-pandemic levels. Digital sales rose 8% this quarter and accounted for 17% of consumer sales with growth driven by downloadable audio books. HMH continued to perform according to plan. For the quarter, HMH contributed $50 million in revenues and $10 million in segment EBITDA. Turning to News Media. The momentum in this segment continued during the quarter, revenues were $638 million, up 11% versus the prior year. The biggest driver to the growth was the continued rebound in the advertising market as well as the strong growth in circulation and subscription revenues helped by the contribution from our recent content licensing revenues. Within the segment, revenues at News Corp Australia and News UK increased 14% and 7%, respectively. Wireless Group and the New York Post also continued to show strong top line growth. Adjusted revenues for the segment increased 10% compared to the prior year. Circulation and subscription revenues rose 9%, benefiting from strong digital subscriber growth, incremental revenues from the platform agreements and cover price increases. Advertising revenues increased 17% compared to the prior year with notable strength in digital and a recovery in print advertising across all our key mastheads. Advertising revenues in Australia with the easing of lockdown conditions rose 11% in both reported and local currency. News UK advertising revenues rose 23% or 21% in local currency with impressive digital advertising growth. In fact, at the sum, digital advertising surpassed print for the first time, driven by improved number of page views and higher yields. In the U.S., the trends at the New York Post remained strong with higher yields helping to drive advertising revenue performance 19% higher year-over-year. Segment EBITDA of $111 million increased $45 million or 68% compared to the prior year, reflecting the higher revenues. News Corp Australia contributed $35 million to the segment EBITDA growth, and both News UK and the New York Post were positive contributors to the growth. Segment margins topped 17%, the highest since we have separated in 2013. Adjusted segment EBITDA increased 65%. I would now like to talk about some themes for the upcoming quarter. While we remain very encouraged with our strong year-to-date results and our trajectory thus far, we are clearly mindful of the uncertainty and lack of visibility from the ongoing impacts of the pandemic, including the potential cost impacts from continued supply chain pressures, particularly in Book Publishing and our mastheads as well as wage inflation and talent retention across the company. At Digital Real Estate Services, Australian residential new buy listings for January rose 14%. REA anticipates growth rates to slow in the second half as it cycled strong prior period listing volumes and potential impacts around the upcoming federal election. Please refer to REA for more specific outlook commentary. At Move, we continue to see strong yields despite lower inventory. We expect to continue to reinvest in Move as we drive the core business and expand into relevant adjacencies, particularly in new homes and rentals. We expect the year-over-year growth rate of investment at Move in the second half to be relatively similar to the second quarter, but notably lower than the first quarter rate. In Subscription Video Services, we remain pleased with the ongoing performance of the streaming products and the efforts to improve broadcast ARPU and churn. We continue to expect full year costs in local currency to be relatively flat versus the prior year, and we continue to monitor commercial venue trends given the recent spike in COVID cases in the region. At Dow Jones, overall trends across the business remains strong with advertising and subscription growth continuing to perform well. We expect to continue to reinvest in digital to drive consumer subscriptions and to further enhance our professional information business offerings. And to reiterate, we expect both the OPIS and Base Chemicals acquisitions to close in the first half of calendar 2022, and we will incur onetime transaction costs related to these acquisitions. In Book Publishing, similar to the first half, overall trends remain favorable despite lapping the benefits from COVID-19 and strong growth from the sales of the Bridgeton series in the third quarter last year and the ongoing supply chain pressures. At News Media, overall advertising trends remain favorable, and we remain cautiously optimistic about the second half, albeit recognizing that visibility is limited. We continue to expect incremental revenues into nine figures from the recent platform agreements with the majority of that allocated to News Media. We do expect some reinvestment to the segment in the second half given the strong year-to-date performance focused on new product initiatives, marketing and the News UK TV project. On other, we expect costs in the second half to be slightly higher than the first half due to the phasing of certain costs. And lastly, we continue to expect full year CapEx to be up $100 million versus the prior year, albeit we are trending lower than that in the first half. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Kane Hannan with Goldman Sachs. Your line is open. Please go ahead.
Kane Hannan: Good morning guys. Just two quick ones for me. Just firstly, Move. The revenue growth did slow down in the quarter despite the improving lead decline. Just talk a little bit about the pricing tailwinds you're seeing so how we think about that into the second half? And then just quickly on News Media. The payments from the tech platforms, were that the full run rate in the second quarter? Or should we expect those to continue to grow into the second half?
Robert Thomson: Kane, I'll take those two questions. First of all, the macro trends at REALTOR generally are specious. I mean, clearly, there's some fluctuation in the U.S. housing market. But the overall impetus for families and individuals to buy larger homes to work from home to move location to take advantage of labor opportunities and certainly of those job opportunities and mobility when as a positive of employees are all positive influences. First-time mortgages are still at near historic lows. And so financially, home purchases make sense, particularly as rents are rising. You'll not see reduction in refis, but that's not a market to which we have exposure. And the digitalization of the U.S. property market is still at an early stage, a very early stage and we're poised to take advantage of the opportunity in the short, the medium and the long term. As for the big digital payments, you are starting to see the run rate, but it does – those payments alone are really base payments, and so they don't take into account advertising and shared advertising and generally speaking, the improvement in the commercial rates for distribution of our content nor do they yet reflect the impact of the enhanced deal with Apple.
Susan Panuccio: And Kane, I'd just like to add for the phasing of those content cost, with licensing costs that we've got in – so Q2 was slightly higher than Q1, and we would expect the second half of the year to be slightly higher again as they continue to ramp, particularly given showcase hasn't launched in the U.S.
Mike Florin: Thank you, Kane. Jess, we will take our next question please.
Operator: We'll go next to Entcho Raykovski with Credit Suisse. Your line is open. Please go ahead.
Entcho Raykovski: Hi, Robert. Hi, Susan. I've got two as well. The first one is, I guess, a follow-up to those comments on the content licensing revenues. I'm just interested in your view on the sustainability of the earnings uplift at each of Dow Jones and News Media? And for News Media, in particular, do you expect this quarter and this year to reflect a peak? Or can you at least sustain these earnings. You're obviously investing in the second half, but just how you view the earnings trajectory would be helpful. And then secondly, I think this has been a pretty clear theme in markets. But given the slowdown in subscribers noted by some of the global streaming operators, what are the dynamics that you've seen in the Australian streaming market. I mean do you see any risk to the three ambitions that you put out last September for Foxtel subscribers to get to over [indiscernible] million. Thank you.
Robert Thomson: Well, on the first question around the News Media numbers, clearly, the big digital agreements had an impact. But I think to focus on that alone is to actually not give you credit to the companies with a News UK, News Australia or the New York Post in the way that those businesses have been transformed in recent years. And it has been a heavy lift, as you know, in Australia, we had to close many of our print editions and regions and communities and enhance our digital service. So those are more fundamental to the transform fortunes. And when you look at the increase in EBITDA over the past year – the same quarter last year, 11.5%; most recent quarter, 17.4%; News UK advertising, up 21% in local currency; News Australia advertising, up 11%; New York Post, up 19%. These are fundamental shifts in the businesses. And there's no reason to think that those fundamental shifts won't have an enduring impact. As for streaming, the Australian situation is rather different to the prevailing trends in the U.S. Foxtel really is the village square for video. And we have many partners there in a way that's not common in the U.S., Australia, in that sense is rather like the Galapagos Islands, a unique viewing ecosystem. And the recent rapid growth in BINGE is actually exceeding our expectations. And Kayo is a very different sports streaming service with the most important watchable winter sports, along with the increasingly compelling Formula 1 and supercars, among many others. That complete content package is certainly and consistently are compelling. I mean that's appointment viewing day after day, week after week, month after month. That's not churn data, churn some. [ph]
Susan Panuccio: And Entcho, I'd just like to add to Robert's comments in relation to News Media. And he's absolutely right. I mean the transformation of that segment, in particular, has been great, and we've been really delighted with it. And just to give some context of the $65 million increase in revenue, $42 million of that was advertising, $23 million was circulation and subscriptions, which is where those content licensing fees are. So a lot of it was advertising – a lot of that's being fueled by digital advertising and the work that the teams have done around driving those audiences and converting their businesses to digital and benefiting from obviously strong yields. And also the cost work that they've done, they've done a huge amount of cost work and heavy lifting over the past couple of years, which has really helped to underpin those results. So it does give us confidence about how those businesses are going to continue going forward.
Mike Florin: Thank you. And Jess, we will take our next question please.
Operator: Our next question comes from Craig Huber at Huber Research Partners.
Craig Huber: Great. Thank you. What's your general thought here on this inflationary environment we have going on right here as you think across your portfolio, I mean, obviously, your numbers were really good here in the prior quarter. The outlook I hear you talking about here is quite favorable as well. But what's your general thoughts on inflation, what you think it's doing to your top line, but also your revenues – I'm sorry, your revenues as well as your costs. And I do have a nitpick question, Susan. Your overall cost for the company for the quarter, if you adjust for currency and acquisitions, how much was that up placed in the quarter year-over-year? Thank you.
Robert Thomson: Well, I will make a quick observation about inflation and then Susan will follow up on both subjects. The inflationary pressures vary segment by segment and country by country. And this was obviously going to be an important issue of challenge. And clearly, from quite a way ago, not transitory. And so we started our planning long ago, asking each of the businesses to be cost conscious to look at whether open positions needed to be filled to be focused on retention payments in an intelligent way to ensure, though, that our teams also feel as though they're part of a purposeful journey which they most certainly are. The cultural component of loyalty complements the complement component. Susan?
Susan Panuccio: And Craig, just on your question. So reported costs were up 11% and adjusted costs were up 5%.
Mike Florin: Thank you, Craig. Jess, we will take our next question, please.
Operator: Our next question comes from Alan Gould at Loop Capital.
Alan Gould: Well, thank you for taking the question. I've got two, please. Some of the digital platforms are talking about supply chain issues and inflation impacting our marketers desire to advertise and impacting advertising, you have a global perspective, wondering what you're seeing with respect to that. I know your advertising is looking quite good. And then secondly, the platform fees that you're getting from the digital players, what is the opportunity for the advertising subscription revenue on top of what you're already receiving on licensing fees?
Robert Thomson: Susan, would you like to present?
Susan Panuccio: So just in relation to the platform fees, I mean we are working through, obviously, driving continued audiences and looking and working with those tech platforms in order to build out those audiences. And so that will help us contribute to growing the advertising client. And particularly if we can grow the overall subscriber pie, then we've got a high-quality audience that we can look at. Just in relation to the comments that other companies may have made around supply chain pressures and advertising. We – as you mention, we haven't seen that actually impact us from an advertising perspective. We've had great growth actually across digital, and we've been really pleasantly surprised with the bounce back of print advertising, obviously off relatively low comps from the prior year, but it still has exceeded our expectations. So we're not really experiencing that at the moment, and we haven't seen that coming through our results.
Mike Florin: Thank you, Alan. Jess, we will take our next question, please.
Operator: We'll go next to Darren Leung with Macquarie. Your line is open. Please go ahead.
Darren Leung: Thanks for taking the time. Just one question from me. Just a bit of color around the Professional Information Business, 9% growth, please. So it looks like risking appliance is going pretty well, but that would sort of imply that it's affecting the Newswire sort of partners sort of growing a bit slower. Just any color around price or subscribers coming off or anything there, please? Thanks.
Robert Thomson: Darren, I would make a general observation. That business is itself being transformed by Almar and the team at Dow Jones, you're seeing obviously, the success of Risk and Compliance. Those of you who use Factiva will notice that the interface is changing in a way that's frankly more user-friendly. And the acquisition of both OPIS and Base Chemicals will itself have a positive effect on the Professional Information Business, including Newswires, which will already have a focus on energy, chemicals, renewables, carbon, but that will obviously increase. And similarly with Factiva we're already, as you no doubt know, we have a remarkable array of sources. It's a real Aladdin's cave of content that will both complement the existing offering at OPIS and Base Chemicals, but also overall strengthen those offerings because it's – I think it's a fair observation – that in recent years, those businesses haven't been growing at the same rate as Risk and Compliance. But that's why a lot of work is going into transforming them and you'll see the results in the coming quarters, I suspect.
Mike Florin: Thank you, Darren. Jess, we will take our next question, please.
Operator: Our next question comes from Brian Han with Morningstar.
Brian Han: Hi. Two quick ones, if I may. For your streaming services, can you please talk about any recent trends in the conversion rate of trial subscribers to paying prescribers? And Susan on free cash flows, do you expect that working capital buildup to reverse in the next couple of quarters? Or should we expect free cash flow to remain sort of impressed relative to earnings growth?
Robert Thomson: Well, I'll make just a general observation about streaming it to Foxtel, which is overall, you can see the strong growth and the increasing portion of Foxtel revenue ascribed to streaming, while at the same time, and I think this is particularly noteworthy, where it three-year low with broadcast churn. And so the fears that some had that the increase in streaming would lead to a market deterioration of broadcast or unfounded. Susan?
Susan Panuccio: And just in relation to free cash flow, yes, we will expect to see some reversal of that working capital as we work through the year, and we would definitely expect to see the second half have very, very strong free cash flow relative to the first.
Mike Florin: Thank you, Brian. Jess, we will take our next question, please.
Operator: Our next question comes from Drew Figdor with TIG Advisors. Your line is open. Please go ahead.
Edmonds Bafford: This is Edmonds Bafford for Drew Figdor. I had a quick question around the OPIS and Base Chemical business. Congratulations on actually getting them at a very good valuation, but I was a bit surprised by the timing. I have it kind of the process being done by the first quarter of 2022, and I have it in my model on – and kind of in the back half of the third quarter. So what is driving that first half of calendar 2022 timing?
Robert Thomson: Well, Edmonds, obviously, we'd like to get the deals done as quickly as possible because we cherish these companies because we can see how valuable are and what they'll add to Dow Jones and to use core more generally. And you will see in our accounts in coming quarters and years, the value of them. Clearly, we're subject to a regulatory calendar, and there are sometimes variables, unpredictable variables in that. But we're fairly confident that the OPIS deal will close next month and the Base Chemicals will close a couple of months after that.
Edmonds Bafford: Okay. Thank you very much.
Mike Florin: Thank you. Jess, we will take our next question, please.
Operator: And at the moment, I do not have any other questions holding. So I'll turn the conference back for any additional or closing comments.
Mike Florin: Great. Well, thank you, Jess, and thank you for all participating. Hope to talk to you soon. Have a wonderful day. Take care.
Operator: Ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time, and have a great day.